Operator: Ladies and gentlemen, thank you for standing by. Welcome to the CACI International Fiscal 2022 First Quarter Results. Today's call is being recorded. [Operator Instructions]. At this time, I would like to turn the conference over to Dan Leckburg, Senior Vice President of Investor Relations for CACI International. Please go ahead, sir.
Daniel Leckburg: Well, thanks, Ailee, and good morning, everyone. I'm Dan Leckburg, Senior Vice President of Investor Relations for CACI, and I thank you for joining us this morning. We are providing presentation slides, so let's move to Slide #2, please. There will be statements in this call that do not address historical fact, and as such, constitute forward-looking statements under current law. These statements reflect our views as of today and are subject to important factors that could cause our actual results to differ materially from anticipated. Those factors are listed at the bottom of last night's press release and are described in the company's SEC filings. Our safe harbor statement is included on this exhibit and should be incorporated as part of any transcript of this call. I would also like to point out that our presentation will include discussion of non-GAAP financial measures. These should not be considered in isolation or as a substitute for performance measures prepared in accordance with GAAP. Let's turn to Slide 3, please. To open our discussion this morning, I'll turn the call over to John Mengucci, President and Chief Executive Officer of CACI International. John?
John Mengucci: Thanks, Dan, and good morning, everyone. Thank you for joining us to discuss our first quarter 2022 results. With me this morning is Tom Mutryn, our Chief Financial Officer. Let's move to Slide 4, please. Our first quarter results were in line with our expectations and represent a strong start to our fiscal year. We grew revenue by 2% organically, driven by technology revenue growth of 10%. Profitability was strong with adjusted EBITDA margin of 10.8%. We generated robust cash flow, and we won $2.4 billion of contract awards, representing a book-to-bill of 1.6x for both the quarter and on a trailing 12-month basis. Slide 5, please. Turning to the external environment, we remain very optimistic. We continue to see our capabilities and strategy align very well with the administration's priorities. The administration is pursuing an R&D-led agenda to develop capabilities geared toward near-peer adversaries and continued counterterrorism, while also supporting broad modernization investments. It is an agenda that increasingly focuses on technology, speed and flexibility. From a budget standpoint, we are under a CR through early December, which as most of you know, is very common and historically has not impacted our business. While the government fiscal year '22 appropriations process continues to play out, discussions on all sides are still very consistent with the large and growing addressable market for CACI. Defense spending has been increasing as the budget process continues. As I've noted in the past, whether spending is flat or modestly higher, there continues to be strong bipartisan support for national security-related spending. CACI remains very well positioned in well-funded growth areas like cybersecurity, AI and IT modernization across the entirety of DoD, civilian agencies and the intelligence community. Slide 6, please. At CACI, the bulk of our enterprise and mission technology offerings are based on software. Software enables us to address our customers' most pressing challenges without -- within the evolving technology landscape and threat environment. Challenges that require the delivery of new capabilities at the speed of technology and with increased agility, security and usability. As an example, we were recently awarded a $200 million enterprise technology contract to modernize the Air Force's legacy financial systems using our agile software development capabilities and to migrate these systems to a scalable cloud environment. This award is a recompete win with additional new work. The program is regarded by our customer as a major step forward in delivering improved security, scalability and efficiency. It's a great enterprise example of the desire to modernize, move to the cloud, and by doing so, significantly enhance application capabilities and overall cyber posture. This follows our other agile and IT modernization successes with the Army, DHS and many other customers. In addition, in our mission technology area, software-defined everything and open architectures are at the heart of our industry-leading counter-UAS capabilities. We recently announced enhancements to our CORIAN counter-UAS system, extending the range of effectiveness, enhancing the ability to track and defeat swarms, increasing deployment flexibility, and enabling integration with other systems like AVT's electrical optical infrared technology. In addition, we introduced CORIAN Tactical, a streamlined configuration that can be deployed in less than an hour and which is based entirely on CACI funded intellectual property. These enhancements address new demands and increase our probability to win as we pursue new counter-UAS opportunities. This quarter, CACI also continued to demonstrate its leadership position in cyber, both offensive and defensive. In our first quarter, over $530 million of our awards came from unannounced classified contracts with a significant amount of cyber-related content. This includes a multi-hundred million dollar recompete to provide offensive cyber capabilities to a customer in the intelligence community. This opportunity originally came to CACI with our NSS acquisition and our combined capabilities, performance and synergies, including those from LGS have ensured CACI remains the go-to provider through multiple competitions. Slide 7, please. With our focus on growth and margin expansion, CACI continues to generate strong cash flow. Our cash flow and overall financial strength provide the flexibility and optionality to deploy capital in a number of ways. First, we continue to invest organically ahead of customer need in the many areas we have discussed, counter-UAS, artificial intelligence, cyber, electronic warfare and photonics, among others. These investments are differentiating CACI in the market and enabling us to win new high-value work. Second, during Q1, we acquired 2 companies that provide mission technology to sensitive government customers. Their capabilities include open source intelligence solutions, specialized cyber and satellite communications. These are areas of significant growth potential over the next several years. One of the companies, Bluestone Analytics, is focused on open-source intel in the dark web, a domain of increasing importance, not only for law enforcement, but also for every aspect of national security and intelligence gathering. Lastly, on the capital deployment front, we completed our $500 million accelerated share repurchase program at the end of our first quarter. We remain committed to evaluating all capital deployment opportunities based on the dynamics at the time with a focus on driving long-term growth of free cash flow per share. As Tom will discuss in more detail shortly, CACI has ample capital to execute a flexible and opportunistic capital deployment strategy, delivering continued shareholder value. With that, I'll turn the call over to Tom.
Thomas Mutryn: Thank you, John, and good morning, everyone. Please turn to Slide #8. Our first quarter results are a solid start to the fiscal year, directly in line with our expectations, keeping us on track to deliver another year of growth and margin expansion. We generated revenue of $1.5 billion in the quarter, representing 2.2% growth with 2% organic growth contribution. First quarter adjusted EBITDA margin was 10.8%. Adjusted diluted earnings per share was $4.24, up around 2.5% compared to a year ago, driven by our share repurchase in offsetting the tough comparisons against last year's temporary benefit from materially lower cost under COVID on a fixed-price program. Slide 9, please. First quarter free cash flow was $164 million, excluding our accounts receivable purchase facility, reflecting healthy profitability and strong cash collections. Our continued focus on collections resulted in DSO at 52 days, great performance for our business. And as a reminder, first quarter of last year included a $32 million benefit from the deferral of employee payable taxes under the CARES Act. Excluding this benefit, free cash flow would have been up 13%. We closed the first quarter with net debt to trailing 12-month adjusted EBITDA at 2.4x after the 2 acquisitions John mentioned, down from the start of the year with first quarter free cash flow greater than the purchase consideration. Our strong cash flow allows us to quickly delever, create flexibility and optionality as we consider all capital deployment options to drive more long-term shareholder value. Next slide, please. With our track record of growing revenue and expanding margins, as well as our focus on operational excellence, CACI is a business that generate strong and robust cash flow. A key metric to track both internally and externally is free cash flow per share growth. Over the past few years, CACI's 5-year free cash flow per share CAGR has consistently been in the double digits, driven by our disciplined capital allocation, including a combination of organic investment, M&A and share repurchase. Slide 11, please. As John noted, we acquired 2 companies during the first quarter. Both are in the mission technology area of our business with high growth and high margins. We invested a total of approximately $120 million for these businesses, and we expect these acquisitions to add around $30 million of revenue in modest accretion in fiscal year 2022 given timing of close and associated onetime costs. Given the size of these acquisitions, we consider them to be within our existing guidance range. Slide 12, please. We are reaffirming our fiscal year 2022 guidance. We continue to expect organic revenue growth of 4% and expect our full year EBITDA margin to be 10.9%. Our other assumptions remain materially unchanged. As a reminder, our free cash flow guidance includes a $230 million tax refund. We filed our associated tax returns in October and we expect to refund in the second half of the fiscal year, dependent upon government actions. In addition, we will repay about $45 million of the payroll tax deferral amount in December. Slide 13, please. In light of the U.S. decision to withdraw from Afghanistan, which we said represents approximately 2% revenue headwind in fiscal 2022, we reviewed contracts in our backlog with related work. As a result, we reduced our backlog by $1.1 billion, due to contract value that we do not expect to convert to revenue given the withdrawal. Even with this reduction, our first quarter backlog of nearly $24 billion, grew 9% year-over-year, driven by our strong contract awards of $2.4 billion. Turning to other forward indicators, our prospects remain strong. For fiscal year '22, we expect 89% of our revenue to come from existing programs, 7% from recompetes and around 4% from new business. These metrics are consistent with historical ranges at this point in the fiscal year. We have $6 billion of submitted bids under evaluation, with over 80% of that for new business to CACI. And we expect to submit another $14.7 billion over the next 2 quarters, with nearly 80% of that for new business. In summary, we are expecting another year of strong financial performance with solid organic growth, continued margin expansion and robust cash flow. With that, I'll turn the call back over to John.
John Mengucci: Thank you, Tom. Let's go to Slide 14. We delivered strong first quarter results with solid organic growth, healthy margins, strong contract awards and robust cash flow. We are successfully executing our strategy to invest ahead of customer need, both organically and through M&A, and we are positioned to continue doing so for the years to come. As a result, we remain confident in our ability to create long-term value for our customers and our shareholders. Our employees' talent, innovation and commitment to our customers' missions to each other and to CACI is at the heart of our success. I am proud of how our people continue to perform in these highly uncertain times. And I'm very honored every day to work alongside each of you. I also want to thank our shareholders for their continued support and confidence in us. With that, Ailee, let's open the call for questions.
Operator: [Operator Instructions]. Our first question today will come from Seth Seifman with JPMorgan.
Seth Seifman: So we saw the revenue growth breakdown between expertise and technology, and it seem like it's definitely consistent with what you guys have outlined and understood that the decline in expertise is very much driven by the withdrawal from Afghanistan. If we think about the end of the year, though, and we think about the acceleration that we're likely to see in organic growth, does -- with the withdrawal, does expertise kind of stay at this level and we see the acceleration in technology going into the double digits in terms of growth to bring up the overall rate? Or do we start to see expertise kind of move back toward flattening out?
Thomas Mutryn: Seth, this is Tom. When we provided initial guidance, I mentioned that for the full year, we expect both expertise and technology to grow, and technology will be growing faster than expertise. That will give us to our 4% organic growth kind of range. So we expect growth in both the areas more modest in expertise, more robust in technology.
Seth Seifman: Okay. Okay. Great. That sounds good. And then maybe if you could just update. It seems like some of the services companies have been talking about some of the labor-related challenges associated with the pandemic from the beginning, from the middle of 2020. And maybe those are abating a little bit. We're seeing some more of it maybe in -- kind of in manufacturing companies now. Can you update us on kind of where you guys stand with regard to all that?
John Mengucci: Yes. Seth, this is John. Look, we've been saying for a number of quarters. Demand for talent is high. And it absolutely remains high. And the hiring environment remains competitive and extremely challenging. But it's really no different than it has been for the past several years. As we look at throughout the COVID period, attrition rates were down, which you would expect. I mean, who wants to change jobs in the middle of a generational pandemic. So the next question is, how do we fare and how do we look as we come out of COVID and as we move forward. We put a couple of great programs in place a number of years back. One was #MakingMoves. And the second focus was to improve our referral program. The third leg is that we've continued to expand our internship program even throughout COVID. This past year, we had over 300 interns from a number of schools that we strengthened very much our relationships with the not only local, but nationwide colleges and universities out there. Some specifics. One of every 4 of our openings is now filled internally. So that's people moving around the company, driving their career forward, also working with different customers. And on the referral trends, 1 out of 3 new hires is a referral. So if we take those 2 metrics, add 300 interns to it, many of which went back to their senior year with jobs already in hand from us. We really believe that we've been very focused and very captive audience and driver to make certain that as the CEO of a public company, I didn't find myself on an earnings call talking about the fact that it's really hard to find talent. So both on our expertise and on our technology side, we continue to hire what I would say, the right talent at the right time. And the last note, on the technology portion, that's very different staffing levels. We're able to modulate staffing levels on all of our technology deliveries given that we "have that workforce captive," meaning that they can work on a number of different technology programs because I'm not providing and individual to a specific customer. So the more technology that we continue to win and we have to deliver on, the more fungible our entire workforce becomes, and that's what keeps CACI's risk of hiring down.
Operator: Our next question comes from Tobey Sommer with Truist Securities.
Tobey Sommer: I was hoping to get your perspective on another labor issue, but a different one, perhaps. Really wage inflation, kind of what you're seeing and expecting on a go-forward basis? How much that may be contributing to your organic growth, not just this year's guide, but sort of more broadly? And what the margin impacts may be given your contract mix?
John Mengucci: Tobey, look, as I mentioned earlier, market for talent is going to become -- is continuing to be challenging. But as I've said many, many times, paying up for top talent with specialized technology skills and certifications and badges and everything else that we're looking at new employees for as well as the fact that we are, in a lot of cases, hiring highly, highly accredited employees, I'm very happy to pay for them. 60% of our revenue was cost plus, so higher wages get passed along to our customer. That's not a glib comment saying that I'm happy about pushing additional costs, but that's what the marketplace requires and that's what the marketplace bears and that's what we're going to need to pay. In addition, though, our increasing technology work, we're able to be much more efficient and flexible in who we hire and how we leverage our talent. So if we look at how we deliver is really more important than the input costs like wages. So Agile software development, we've got so many tools and processes and methodologies. We can deliver large-scale software development with significantly fewer people, programs like BEAGLE, the Air Force Agile, software development award that I talked about in my opening comments. We've just got so many levers to make certain that we can find and afford top talent. So -- and on the indirect side, frankly, we put our Shared Service Center in place under Oklahoma City. Great processes there, using automation everywhere we can. So it gives us another lever for efficiency and cost management. So as I said the last -- I'm not obsessing over wage inflation. It's out there. It's real. It's part of running a public company, and we have positioned ourselves extremely well there.
Tobey Sommer: Building on that response, could you talk about the mix of employees sort of in the D.C. metro area versus other places perhaps with different associated costs today and what that may look like over a 3- or 5-year period? Do you expect to grow your headcount sort of disproportionately in other geographies?
John Mengucci: Yes, Tobey, thanks. It's probably 7 or 8 years back when Ken was the CEO, and I was in a different, different role. We literally took a step back and said, "Hey, what do we have to plan for in the future as it pertains to the Northern Virginia marketplace?" And we both quickly got to the point with -- of we can hire accredited employees across this nation. So we put quite an aggressive plan in place 5 to 6 years back of building a resilient network across the entire company so we can look for digital signal processor engineers, software engineers, system engineers across the country. So whether it's Rochester, New York; it's Sarasota, Florida; Denver; Colorado Springs, a number of different areas. We've been able to build a network out that allows us sort of back to your wage inflation story, but where can we find additional sources. We then put a map down to say where are the relevant schools within those areas that we can pull interns in from and then start to build our workforce across the U.S. Our customers have also worked with us as well. It wasn't many years back where a lot of the request for proposals said that the development work had to happen within x number of miles of the customer's facility. And our customers recognize that, that fight for talent needs to be nationwide just not based where our customers are. So we're in a multitude of different areas, Tobey, still more heavily in Northern Virginia versus others, but it's probably 50-50, if I look at all our other areas compared to Northern Virginia. Prevailing wage indexes and the like, we've come out of this race for talent very well. Tom, anything to add?
Thomas Mutryn: Yes. I would add, Tobey, that what COVID has done across the nation is to an accelerated trend, which is working remotely. So besides direct employees, indirect employees can work anywhere. So if we have an opening for a person in accounting or HR or contracts, we can look across the nation to fill those particular positions. And so that provides a broader base of employees and also the ability to take advantage of lower prevailing wage rates.
Operator: Our next question comes from Gavin Parsons with Goldman Sachs.
Gavin Parsons: Guys, a few of your peers have recently given multiyear margin targets that are kind of flat to down. So wanted to ask if that's a dynamic you're seeing at CACI or if you think you can kind of continue to expand margins for the foreseeable future?
John Mengucci: Yes, Gavin. I can't really comment on what my competitors are out there talking on. But what I will tell you about us is we're really pleased with how the business has positioned with our consistent financial performance, particularly over the last 18 months, given COVID. And I'd have to tell you that we believe we've been giving longer-term guidance for many, many years. We started off with -- and we continue today to be committed to growing revenue faster than our addressable market, meaning we're going to continue to take market share at ever expanding margins. And when I talk to Tom each quarter and each year, we've been delivering that. So it's a long-term commitment. We've had it for several years now. We've been doing that. We've been winning more of our fair share of new business. We've got north of 90% recompete rate. And at the end of the day, it's an absolute focus on driving free cash flow per share, which is what we've been focused on. Tom, anything you'd like to add to that?
Thomas Mutryn: Yes. And Tobey, on a high level, the reason why we're -- excuse me, Gavin, the reason why we are confident in making the ever-increasing margin statement is our focus on technology. We do have differentiated technology, and that differentiated technology is going to come at higher margins. It's the way economics in markets operate. And as we grow technology disproportionately, that will drive kind of margins. That will continue to drive efficiencies from a cost perspective and the like. So there is some substance behind those stated goals.
Gavin Parsons: Okay. I appreciate that detail. Then on the backlog write-down related to Afghanistan, I think you'd initially said that the headwind is going to be about 2% to revenue this year. The backlog write-down looks like it's a larger portion of backlog than that. So maybe 2 questions here is, one, is the Afghanistan headwind larger than you expect? And two, if not, can you just remind us on kind of how the booking methodology works there.
Thomas Mutryn: Yes. So the headwind is 2%. So you know that's pretty solid. The way we calculate backlog is we will get contract awards and look at those contract awards and add that to backlog. Sometimes, the government on various programs is creating awards, which have some aspirational niche to them or kind of just in case. We're not sure what the needs in Afghanistan are instead of having a contract value of X, let's make it X plus a buffer, if you will. And in particular, when the government is doing something so unpredictable, OCONUS operations, we saw that. And so the $1 billion of write-down is greater than this year's run rate, but that's the nature of those particular contracts.
John Mengucci: Yes. And that backlog is -- was to cover a number of years looking forward. So absolute revenue impact this year is going to be 2%. And that clearly drops to 0 as we go forward, and we just thought it was prudent and the right thing to do since we look at our backlog number each and every quarter to make certain that once we knew we were completely out of that area, this was the right time for us to relook at what we had in our backlog and make that unfunded backlog change now.
Operator: Our next question comes from Matt Akers with Wells Fargo.
Zonghan Yan: This is actually Eric Yan for Matt. Could you -- I think your orders were a little bit weaker than we typically get in Q1. Was there any impact from the COVID Delta wave? Any individual areas were more impacted than others?
John Mengucci: Yes, Eric. I'm going to stick by my decade-old comment of awards are lumpy, right? No, there isn't anything that we should read into it. We had another outstanding awards quarter, 1.6x, which is right on top of our trailing 12-month number. There's not 1 customer or 1 award. I think I shared the last couple of quarters. Every one of our customers has their own award personality. When they award and when they don't and some award right on time and some award later. We haven't seen that. We still do see some residual task orders on major awards we've already won, and those come out a little slower than what they used to. And I'm assuming that as our federal government colleagues are working through COVID and its variant, that's going to put some level of delay in. But no, nothing that we can point to. It's just more around awards are lumpy. And the first day to second quarter to us looks just like the last day of the first, and that's sort of what happens.
Operator: Our next question comes from Matt Sharpe with Morgan Stanley.
Matthew Sharpe: John, you mentioned in your opening remarks, I think, $530-or-so million of unannounced classified contracts. I think this is the first time, at least in quite a while, that you've mentioned that or called that out. I was hoping you might be able to talk to what percentage of your business is classified today? And then how that component of the business has trended relative to the broader business over the last year or so?
John Mengucci: Yes, Matt, thanks. We've never shared the portion of our business, which is classified, and that's really just how we're set up protecting what those customers do, which every once in a while, we have a large a number of awards that we can't discuss openly. We've historically grouped those together. We may not have done that in the last year, but I can tell you there's been many, many quarters that we look at things and we sort of group those together. As my prepared remarks mentioned, what is important about these types of awards is that they are very much cyber centric, which really speaks to the fact that beyond the counterterrorism focus of the national security issues that we all have to deal with, more of this is moving towards near peer. And that message really was to share that we are winning more than our fair share of where additional funds are being spent around offensive and defensive cyber. And it actually plays right into a couple of the acquisitions that we talked about in our prepared remarks as well. One, we can't talk a lot about, but we should -- you should think about that acquisition being in the space domain, which is seeing more and more plus ups as we go forward. and how do we protect space and communications and assets. It's about all I can say about that acquisition. So no, I mean, nothing out of the ordinary. I'm sorry, can't breakout classified versus un. We do break it out into DoD, Fed civil and commercial and that gives you a relevant insight.
Thomas Mutryn: Yes. And we also talk about the percentage of employees who have different levels of clearances. And as you know, there's a variety of clearance levels. Right now, approximately 70% of our employees have some level of clearance.
Matthew Sharpe: Got it. Okay. That's helpful, fellows. And then maybe just quickly on the subject of COVID-19. I believe the FAR Council has directed most federal agencies at this point, if not all federal agencies, to incorporate either a clause into RFPs or language in a contract mod that mandates vaccination for all employees by December 8. So my question to you is, are you seeing that language showing up on your end yet? And then is there any risk come December 8 to your staffing levels? Or how do you handle that when the time comes?
John Mengucci: Yes, Matt. Thanks. Highly relevant. Look, the President's executive order states that all federal contractors are required to be fully vaccinated or have an approved exemption and an accommodation by December 8. So we are continuing to communicate with our employees together vaccination status and frankly, to encourage and support them to get vaccinated. On the positive side, we are trending towards a 90% vaccination rate within this company. But it's a very fluid situation where we continue to monitor every bit of guidance. And Matt, I wouldn't be exaggerating if I didn't tell you that we get hourly changes across every agency which is out there as to how that government agency is going to handle that executive order that then came out to a task force, that then has sort of spread out like a fish bone, right, about how each agency is going to handle it. At this point, different customers are reacting differently to this mandate. We're working with them to address safety first, access to government facilities and to ensure continuity of our operations. I mean, I think -- certainly, I and we don't think the intention of executive order is to disrupt mission-critical activities or display skilled and cleared workers in an extremely tight labor market. So it is factored into our guidance. If we felt that it was a material change based on what we know today, Matt, we would have made some guidance changes. But as we get more information, we're going to be very transparent as we always have been. Right now, it's fluid enough that things that are breaking left are also breaking right. So we're very -- still remain confident with our guidance range, but it is something for all of us to be watching and be very aware of.
Operator: Our next question comes from Mariana Mora with Bank of America.
Mariana Mora: So as we think about the post-COVID world, you already commented about labor market. But so far this quarter, defense companies have highlighted challenges related to the supply chain. Could you please give us some color on CACI's exposure so far and actions taken to mitigate them?
John Mengucci: Yes. Thank you. Look, supply chain disruption is an issue facing many companies across many sectors. For us, the issue is around compute and computing power. So think about FPGAs. Across the board, with the biggest impacts for us are going to be in our counter-UAS tactical and then our BEAM 3 product releases. It's not large volumes, but meaningful enough for us to slow that planned ramp-up, and that was already factored in our FY '21 -- '22 guidance. Forgetting which here it is. Look, last fiscal year, we did talk about AVT. They had some supply chain issues and customer delivery delays. We did address that by ordering ahead of need for most of our long lead items that we expected to get orders for this year. A nice problem to have is if we serve beyond those planned levels, we may see some impacts later in the fiscal year. But right now, it's too early to tell. What I -- the way we see supply chain in our market, though, unlike commercial items, we're viewing supply chain issues more of a timing issue. So the threat doesn't go away. The delivery still needs to happen. So we are continuing to relook at the full delivery time line. Production is the first piece, training, deployment, install, test and then sell off, how can we shorten time lines, how do we do more electronic training, how do we put training ahead of delivery so that we don't miss that end date delivery date. So a lot of moving parts really in the FPGA area, but in a smaller portion of our business.
Mariana Mora: And when we think about this compared to Q3, is this leading like buy off like goods and keeps affecting your free cash flow in the short term?
John Mengucci: No. I mean the amount of preproduction material that we're holding on to our balance sheet compared to the size of the company, I'll use one of Tom's word, is de minimis. So no, no, we've been able to work around that and make certain that the -- to the extent that we have prepurchased things, it's really the long lead item area. So we have a lot of alternate sources for the majority of the components that are in the mission technology that we deliver.
Operator: Our next question comes from Sheila Kahyaoglu with Jefferies.
Prescott Forbes: It's Scott Forbes on for Sheila. I mean, you guys grew 2% in Q1, but guidance for the full year is obviously a little higher than that in the 4% range. Can you talk about some of the moving pieces that kind of help growth accelerate through the year?
Thomas Mutryn: Yes, Scott. It's kind of no singular issue. At any point in time, we have a series of programs, some which come to end of useful life. And so there's always a few kind of ramp-downs of activities. And at the same time, programs are expanding, we're realizing on-contract growth. That has been a major focus of ours to make sure that we -- you kind of realize the full potential of the existing work, and we continue to win new work. So it's really the combination of that across the portfolio, kind of where we'll lay out the plan by quarter for the year. Our planning process is such that we have a monthly forecast. We update regularly, and that lays out kind of revenue in cost and profit by month -- by program for the year. So we have a high degree of visibility and I'll leave that at that.
John Mengucci: Yes, Scott. And this year, so far, is playing out. During our guidance call, Tom gave some loose directional quarterly guidance, knowing that the Afghanistan 2% hit would take its fullest impact in our first quarter as we would look at last year's first quarter. So we had planned this year with growing quarter-over-quarter, we're still on that plan.
Prescott Forbes: And then you've spoken a lot about cyber, maybe from a high level, how do you think about that portfolio maybe relative to your peers? And what are your broader expectations around that space?
John Mengucci: Yes. I mean, cyber to us is part of everything, right? It used to be a separate deliverable. If we look at offensive versus defensive cyber, everything we do on the defensive side, at some point, the way we're structured, the fact that we're focused on technology and not just providing expertise to our customers, every time we can defend against something, that gives us new insights into how to move that to an offensive side. So we've been very much engaged in that. When you hear us talk about software-defined everything, you can think about devices and mission technology being delivered that not only can find the threat, but it can find that threat, understand it, decipher it, turn that around and deliver it as potentially an offensive payload cyber effect as well. So whether it's cyber, whether it's AI, whether it's machine learning, majority of our mission tech, again, is going to be focused on software and software defined everything devices and the like. So we see that in the intelligence community, we like the hand that we're playing on the Department of Defense work. In the federal civilian world, clearly, as we look at DHS and the CISA there, being one of the very few folks who are building that architecture out. And you really can't talk about Zero Trust without talking about cyber as well. So really like the book of business we have. I like the fact that the folks in CACI, the folks that we are hiring are coming highly credentialed and that just pour -- tends us to be able to drive further and further growth within the cyber domain.
Operator: This concludes our question-and-answer session. I'd like to turn the call back over to John Mengucci for any closing remarks.
John Mengucci: Thanks, Ailee, and thank you for your help on today's call. We would like to thank everyone who dialed in or listened to the webcast for their participation. We know that many of you will have follow-up questions. Tom Mutryn, Dan Leckburg and George Price are available after today's call. Stay healthy, and all my best to you and your families. This concludes our call. Thank you, and have a great day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.